Operator: Greetings. And welcome to Semtech Corporation’s Q4 Fiscal Year 2021 Earnings Call. At this time, all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. It is now pleasure to introduce your host Sandy Harrison, Vice President of Investor Relations. Thank you, Sandy. You may begin.
Sandy Harrison: Thank you, Paul. And welcome to Semtech’s conference call to discuss our financial results for our fourth quarter and fiscal year ‘21. Speakers for today’s call will be Mohan Maheswaran, Semtech’s President and Chief Executive Officer; and Emeka Chukwu, our Chief Financial Officer. A press release announcing our unaudited results was issued after the market close today and is available on our website at semtech.com. Today’s call will include forward-looking statements that include risks and uncertainties that could cause actual results to differ materially from the results anticipated in these statements. For a more detailed discussion of these risks and uncertainties, please review the Safe Harbor statement included in today’s press release and in the other Risk Factors section of our most recent periodic reports filed with the Securities and Exchange Commission. As a reminder, comments made on today’s call are current as of today only and Semtech undertakes no obligation to update the information from this call should facts or circumstances change. During the call, we will refer to non-GAAP financial measures that are not prepared in accordance with Generally Accepted Accounting Principles. All references made to financial results in Mohan’s and Emeka prepared remarks during this call will refer to non-GAAP financial measures unless otherwise noted. A discussion of why the management team considers such non-GAAP financial measures useful, along with detailed reconciliations of such non-GAAP measures to the most comparable GAAP financial measures, are included in today’s press release. With that, I will turn the call over to Semtech’s Chief Financial Officer, Emeka Chukwu. Emeka?
Emeka Chukwu: Thank you, Sandy, and good afternoon, everyone. For Q4 fiscal ‘21, net sales was $164.7 million, which came in above the upper end of our guidance. This represented a 7% sequential increase and 19% growth over the same period a year ago. Despite the challenges presented earlier in the year by the pandemic, fiscal year ‘21 net sales increased 9% to $595.1 million, driven by the strength of the underlying secular themes driving our growth engines. In Q4, shipments into Asia represented 79% of net sales, North America represented 12% and Europe represented 9%. Total direct sales represented approximately 13% and sales to distribution represented approximately 87%. Our distribution business remains balanced with 33% of the total POS coming from the high end consumer end markets, 37% coming from the infrastructure end market and 30% from the industrial end market. Q4 bookings increased significantly both on a sequential and year-over-year basis, and was a new quarterly, as well as annual record for fiscal year ‘21 and resulted in a book-to-bill significantly above 1. POS bookings accounted for approximately 24% of shipments during the quarter. The bookings threat has continued into Q1. Q4 GAAP operating expense increased 12% sequentially due to the impact of 14-week quarter, impact of the weaker U.S. dollar, higher new product expenses as stock-based compensation expense associated with an increase in our stock price. We expect our Q1 GAAP operating expense to decline from Q4 and a return to a 13-week quarter and lower stock-based compensation expense slightly offset by the customary reset of expenses associated with the start of the New Year, higher new product expenses and the impact of the weaker U.S. dollar. Q4 GAAP order expenses was $2.7 million versus $1.6 million in Q3, primarily due to the impairment of some of our minority investments and higher foreign exchange losses due to the weaker U.S. dollar. In Q4, our GAAP tax rate was 5.5% as a result of a more favorable regional mix of income. In Q1, we expect our GAAP tax rate to range between 9% and 11%. Our GAAP tax rate forecast excludes consideration of any impact from discrete items, including excess tax benefit or deficiency from the exercise of stock options. Moving on to the non-GAAP results, which exclude the impact of share based compensation, amortization of acquired intangibles, acquisition-related and other non-recurring charges. Q4 non-GAAP gross margin of 61.5% was in line with our expectations and we expect Q1 non-GAAP gross margin to be generally flat with Q4 levels reflecting a high mix of consumer revenue. In fiscal year ‘22, we expect our gross margins to trend higher from a more favorable mix as we expect much of our revenue growth to come from our higher margin growth platforms. We expect that any increase is due to the global supply chain constraints should be mitigated by slower customer pricing reductions or in some cases price increases. As a reminder, our long-term gross margin target model is 58% to 63%. Q4 non-GAAP operating expense increased 9% to $62.3 million, driven by the impact of the 14th week, the negative impact of the weaker U.S. dollar and higher new product expenses. In Q1, we expect non-GAAP operating expense to be approximately flat with Q4 levels, as the benefit of a normal 13-week quarter is offset by higher new product expenses, increased payroll expenses associated with the New Year and the impact of a weaker U.S. dollar. For fiscal year ‘22, we expect our non-GAAP operating expenses to grow about half the rate of our revenue growth. In fiscal year ‘21 non-GAAP operating margin was 23.4%, a 50-basis-point increase from fiscal year ‘20. We expect to leverage revenue growth, stable and expanding gross margins and reasonable operating expense growth to drive the operating margin to our target model of 32% to 36%. In Q4, our non-GAAP tax rate decreased to 9.5%, as a result of a favorable regional mix of income and discrete tax benefit. Beginning with our fiscal year 2022 results, we will use a non-GAAP normalized tax rate for the full fiscal year. We believe this will provide better comparability across our quarterly results by reducing the variability and non-GAAP tax rates that can occur throughout the year. We plan to update this tax rate annually at the beginning of each fiscal year. For fiscal year ‘22 our non-GAAP normalized tax rate is 13%. In fiscal year 2021, cash flow from operations was approximately $119 million or 20% of our net sales and free cash flow was approximately $87 million or 15% of our net sales. Our long-term target for free cash flow is 25% to 30% of net sales. We repurchased approximately $1.6 million or $71 million of our shares in fiscal ‘21, which represents 82% of our free cash flow. The Board recently increased our stock repurchase authorization by $350 million, resulting in approximately $389 million of outstanding authorization. We expect to continue to use our cash to opportunistically repurchase our shares, make strategic investments and pay down our debt. Accounts receivable in Q4 represented 36 days of sales, which is below our target range of 40 days to 45 days. In Q4, net inventory increased 12% in absolute dollars from Q3, while days of inventory remained consistent at 118 days and remains above our target range of 90 days to 100 days. In Q1 we expect the net inventory to increase in absolute dollars and days to support higher sales and to address the tighter supply chain. In summary, we are very pleased with our solid financial performance in fiscal year ‘21, despite the many challenges from the pandemic. Our business fundamentals remain strong and we are well-positioned to benefit from the secular drivers in the high growth markets of IoT, communications infrastructure and mobile devices. We expect to leverage our stable and expanding gross margin on well controlled operating expenses to grow our earnings much faster than revenue and continue to generate strong cash flow. I will now hand the call over to Mohan.
Mohan Maheswaran: Thank you, Emeka. Good afternoon, everyone. I will discuss our Q4 fiscal year ‘21 performance by end market and by product group and discuss our fiscal year ‘21 performance and then provide our outlook for Q1 of fiscal year ‘22. In Q4 fiscal year ‘21, net revenues increased 7% sequentially to $164.7 million. High demand across all three of our end markets drove better than seasonal Q4 results. We posted non-GAAP gross margin of 61.5% and non-GAAP earnings per diluted share of $0.51. In Q4 fiscal year 2021, net revenues from the high end consumer market increased 10% sequentially and 32% over the prior year and represented 30% of total revenues. Approximately, 19% of high end consumer net revenues was attributable to mobile devices and approximately 11% was attributable to other consumer systems. Net revenue from the industrial end market increase 9% sequentially and 25% over the prior year and represented 33% of total net revenues. Net revenue from the infrastructure end market increased 3% sequentially and 7% over the prior year and represented 37% of total revenues. I will now discuss the performance of each of our product groups. In Q4 of fiscal year ‘21, our Signal Integrity Product Group grew 1% sequentially and represented 38% of total revenues. Stronger demand from our PON and wireless base station business contributed to the growth. In Q4, demand from the data center market remained soft, as customers continue to consume excess inventory following the strong first half. We believe inventory levels have reduced and we are expecting data center revenues to grow in Q1. Customer activity around our Tri-Edge PAM4 CDRs remains high and we now have multiple design wins that are in various stages of qualification in 100-gig, 200-gig and 400-gig PAM4 optical modules. We expect our Tri-Edge revenues to increase nicely in FY ‘22 as customers move to full production. Our FiberEdge PMD platform which complements our ClearEdge and Tri-Edge CDR platforms, as well as the DSPs continues to gain solid momentum in 400-gig and 800-gig PAM4 optical systems. We are confident that Tri-Edge lower power, lower cost and lower latency together with FiberEdge’s higher performance will enable us to continue to grow our hyperscale data center business and achieve another record in fiscal year ‘22. In Q4 of FY ‘21, our PON business grew nicely, driven by record 10-gig PON revenues, as the ongoing demand for higher bandwidth connectivity is resulting in an increase in PON demand globally. While the China market is expected to lead PON deployment growth in FY ‘22, other global service providers, including in the U.S., India and Europe have also announced deployment plans that we believe bodes well for our 2.5-gig and 10-gig PON platforms. Semtech remains the leading supplier to the global PON market, providing the most comprehensive PON PMD portfolio. We expect our PON business to continue to grow and achieve another record performance in FY ‘22. In Q4 of FY ‘21, revenue from our wireless base station business increased nicely, as our ClearEdge platform continued to establish a leadership position in 5G front haul optical modules. We also recently announced the availability of our new Tri-Edge 50-gig PAM4 platform targeted at 5G front haul optical modules. We believe our established position in 4G, along with the 5G momentum from our new ClearEdge and Tri-Edge platforms targeted at front-haul and mid-haul optical module applications should enable our wireless base station business to deliver another record performance in FY ‘22. The underlying secular demand driven by the quest for higher bandwidth globally in datacenters, PON and wireless broadband networks is expected to drive solid growth from our Signal Integrity Product Group in Q1 and in fiscal year ‘22. Moving on to our Protection Product Group. In Q4 of fiscal year ‘21, net revenues from our Protection Product Group increased 15% sequentially and 26% over the same period last year and represented 29% of total revenues. In Q4, our Protection Consumer business experienced better than seasonal demand led by a recovery in smartphones, following the weak start to the year due to COVID. Stronger demand from our Asian smartphone customers, along with record revenue from our North American smartphone customers contributed to the Q4 strength. In Q4, demand from the broad based industrial markets was also stronger as our Protection Product Group continues to diversify into a broader range of industrial and communications markets, including the automotive and IoT markets. Semtech is the global leader in high performance Protection solutions and our system design as used more advanced process geometries. The need for more robust Protection to protect the sensitive devices will continue to increase. In addition, many of today’s newer industrial systems and mobile platforms are using higher speed interfaces and advanced charging solutions where high performance Protection is required. We believe these secular trends will drive increasing adoption of our Protection platforms used in mobile systems, displays, accessories and increasingly across broad-based industrial automotive and communications platforms. In Q1 of fiscal year ‘22, we expect our Protection revenues to be approximately flat. Turning to our Wireless and Sensing Product Group. In Q4 of fiscal year ‘21, revenues from our Wireless and Sensing Product Group increased 6% sequentially and 32% over the prior year to achieve a new quarterly record and represented 33% of total revenues. In Q4, our LoRa enabled platforms also delivered a new quarterly record and we announced several key initiatives that demonstrate the increasing acceptance of LoRa in low power IoT applications. These include the following, AWS announced the integration of the LoRaWAN protocol with AWS’ IoT Core, a fully managed service that enables IoT developers to easily connect low power LoRa based sensors to the AWS Cloud. Swarm Technologies, a global satellite communications company integrated LoRa into their platform that enables two-way communications to and from its LEO satellites. LoRa is well-suited for these long distance, low power applications, enabling satellite based use cases for logistics, agriculture, connected cars and energy. WITRAC the developer of real-time location and telemetry capabilities integrated LoRa into its global track and trace platform to enable customers to guarantee delivery times and maintain appropriate temperature of fresh food inside refrigeration units throughout the entire cold chain. And Ripl Networks, a provider of IP networking of low power devices announced the use of LoRa in its IP Mesh 3D location tracking software to help secure naval ports where 20-kilometer sensor connectivity range and 10-year battery life is required. These are just a few examples of the emerging use cases where LoRa’s low power, long distance and flexibility demonstrate the value of LoRa technology in enabling a smarter, more connected and sustainable planet. In Q4 fiscal year ‘21, we also experienced record quarterly demand for our proximity sensing platforms led by strength from our Asian smartphone customers. Global RF regulations are increasing the proximity sensing requirements on smartphone manufacturers that wish to compete on a global stage. We expect our proximity sensing business to benefit from these enhanced requirements and recent design win activity in new 5G smartphones and the wearable devices where there are an increasing number of high performance radios being used, indicate that our proximity sensing business will continue to grow nicely. For Q1 of fiscal year ‘22, we expect net revenues from our Wireless and Sensing Product Group to increase and deliver another record quarter led by growth from our LoRa business. Moving on to new products and design wins. In Q4 of fiscal year ‘21, we released 18 new products and achieved 3,080 new design wins. Now, let me comment briefly on our fiscal year ‘21 performance. In fiscal year ‘21, net revenues increased 9% to $595.1 million, driven by strength from all of our product groups. In FY ‘21 we had 56 new product releases and achieved a new design win record of 11,271 new design wins. In FY ‘21, our Signal Integrity Product Group grew 15% over the prior year as infrastructure spending increased. Our SIP Product Group achieved record bookings and had record 100-gig revenues, record 5G base station revenues and record 10-gig PON revenues. We expect these businesses along with our PAM4 and Pro AV businesses to all achieve records in FY ‘22 and contribute to strong growth in our Signal Integrity Product Group in fiscal year ‘22. In FY ‘21, our Protection Product Group grew 3% over the prior year as the high end consumer market strengthened and our diversification strategy began to yield results. We expect that Protection business to achieve double-digit growth in FY ‘22 as our diversification efforts continue to bear fruit in both the consumer market and the broader industrial automotive and communications markets. In FY ‘21, our Wireless and Sensing Product Group grew 6% over the prior year, despite the slow start to the year due to COVID, our LoRa enabled revenue grew 19% to approximately $88 million in FY ‘21. In FY ‘21, our LoRa business met or exceeded most of the metrics we targeted at the beginning of the year. These metrics included the number of countries with public lower networks in FY ‘21 grew to 100 countries from 91 at the end of FY ‘20. As LoRa is well established in most regions of the world, we will no longer report on this specific metric. The number of public or private LoRa network operators grew to 150 at the end of FY ‘21 from 133 in FY ‘20 and we expect 165 LoRa network operators by the end of FY ‘22. The number of LoRa gateways deployed more than doubled from 642,000 gateways in FY ‘20 to over 1.3 million gateways at the end of FY ‘21 and we expect the number of LoRa gateways deployed to increase to over 2 million by the end of FY ‘22. The cumulative number of LoRa end-nodes deployed increased to 178 million at the end of FY ‘21 from 135 million at the end of FY ‘20. We expect this number to exceed 235 million cumulative end-nodes by the end of FY ‘22. The LoRa opportunity pipeline, which includes both opportunities and leads, ended FY ‘21 at approximately $700 million. We anticipate that on average 40% to 50% of the opportunities currently in the pipeline will convert to deployments over a 24-month timeline. Our opportunity pipeline is geographically well-balanced with use cases primarily in smart utilities, smart logistics and asset tracking, smart home and smart cities. At the end of FY ‘22, we are anticipating our total opportunity pipeline should exceed $850 million. In FY ‘21, our LoRa business achieved several major accomplishments. These include our partnership with Amazon on several projects, including the Amazon Sidewalk network, design for smart home, community and consumer applications, providing low power, broad coverage for indoor and neighborhood area IoT devices. We expect revenues from our Amazon activities to start to ramp this fiscal year. Our LoRa global platform that uses a 2.4 gigahertz version of LoRa has been adopted in a number of global use cases that require higher bandwidth or connectivity in areas where LoRaWAN networks may not be present. And our LoRa Edge platform enabled our first device to cloud platform and associated cloud services. In FY ‘21, we launched our first LoRa Cloud Services, offering device provisioning, device management and geolocation services. We have closed on our first cloud services agreements and expect initial cloud services revenues this fiscal year. We anticipate signing up over 20 cloud services agreements with customers by the end of fiscal year ‘22 as we fine-tune our capability and service offering. This is a new metric that we will report on quarterly. These accomplishments demonstrate the evolving maturity and acceptance of LoRa. The growing momentum and along with the continued influence of the LoRa alliance, we expect to continue to drive LoRa to become the de facto standard for the global LP WAN market in what we expect to be a multi-billion unit industry in the next five years. For FY ‘22, we are expecting positive momentum from our LoRa business and anticipate a 40% CAGR for our LoRa enabled business over the next five years. Now let me discuss our outlook for the first quarter of fiscal year ‘22. Following a record bookings in Q4 and a record bookings year, we entered Q1 with record backlog. We are currently estimating Q1 net revenues to be between $164 million and $172 million. To attain the midpoint of our guidance range or approximately $168 million, we needed net terms orders of approximately 16% at the beginning of Q1. We expect our Q1 non-GAAP earnings to be between $0.49 per diluted share and $0.55 per diluted share. I will now hand the call back to the operator, and Sandy, Emeka and I will be happy to answer any questions. Operator?
Operator: Thank you. [Operator Instructions] Thank you. Our first question comes from Tore Svanberg with Stifel. Please proceed with your question.
Tore Svanberg: Yes. Thank you and congratulations on the record results. Mohan, you talked about targeting 20 service agreements by the end of fiscal ‘22 for LoRa. Could you elaborate a little bit more on the size of those, I mean, are these kind of like million dollars agreements? Just trying to understand how quickly the services revenue can ramp, but I know eventually obviously your target is about 100 million, but just wanted to understand for fiscal ‘22 how much is ramping?
Mohan Maheswaran: Yeah. The thinking Tore is that the agreements will really be focused on connecting devices and so obviously if there is a very high volume of devices and usage of those devices accessing the cloud services then the revenues will go up. So it depends on use case, it depends on number of devices, so each one is kind of individual on its own. But that’s the way the thinking is. So the revenues will be generated by number of times the algorithms are accessed and the number of devices etc, things like that. So, obviously, FY ‘22 for us this is almost a trial year to see, make sure we fine-tune the system, I mentioned the three areas we are starting off with device provisioning, which is about connectivity to the network and the cloud, device management, which is about monitoring the device itself, making sure the battery, telling you what the level of the battery is and things like that, and then geolocation, which is about locating the device and tracing it and things like that. So we have to demonstrate the value, but as we demonstrate the value, I think, as customers recognize the value of each of those aspects of the service then they will be quite happy to pay for it and that’s the thinking and we will see how it plays out.
Tore Svanberg: Yeah. Thank you for that. And as my follow-up, you sound pretty confident that gross margin could expand this year obviously driven by mix. Does that mean that your visibility in your infrastructure markets including 5G and datacenter is pretty decent right now, because I know those markets have been a bit softer as of late? But it sounds like you have pretty good visibility out there though?
Emeka Chukwu: Yeah. Tore, this is Emeka. So, yeah, I think, we feel very good about what is happening in the optical infrastructure space. We have continued to see a whole lot of design wins with some of our newer product platforms. And so the expectation on our side is that, we have a lot of good things going on the gross margin side, a lot of new products driving the topline revenue. But speaking on the gross margin, the one thing that is still out there that we are trying to really assess is what is the impact of our cost increases within the supply chain. Although, our feeling is that any negative impact would get from there should be mitigated by not giving us much pricing reductions or actually in some cases going back and asking for higher prices from our customers. So to your point, it definitely, like I said before, I think, it was last quarter, I am still anticipating same gross margin expansion anywhere from 50 basis points to 100 basis points and we are still pretty good about that based on the visibility that we have at this time.
Tore Svanberg: Very good. Congrats again.
Operator: Thank you. Our next question comes from Tristan Gerra with Baird. Please proceed with your question.
Tristan Gerra: Hi. Good afternoon. Just following up on the same topic, any concerns about the availability of any component or in terms of wafers for this year? And also have you implemented any type of non-cancellable order policies with your customers?
Mohan Maheswaran: So, Tristan, I think, on the first part of the question, we have -- you can see probably since the second half of last year, we have been building more internal inventory and one of the reasons for that is the increasing lead times and supply chain. So we don’t anticipate any major issues and at least in the first half of the year. We think we are going to be good for most of the year, obviously, it’s a daily -- we are looking at it daily and it depends on demand. We have a couple of constraints around the business in terms of supply, but fairly small modest in nature, I would say, less than a few million dollars. So I think here and there and then we will just wait and see what the upside -- where the upside is. And as I said, we think we have it covered with our demand management and inventory management and the way we are managing the business. So I think we are okay. And then, as Emeka pointed out, we obviously, we see we have some supply constraints and in those cases we are going out and looking at whether we can when we get increases in the supply side on the cost side we are going out and deliberately looking specifically at where we can also offset that with raising prices. In some cases, I think, it’s also being more disciplined about how we work with our partners. In general, at the moment, we don’t have to do anything. I think first half is going to be fine. I think it’s really going to be a question of how the second half plays out and if the demand continues to be extremely strong and improves and the markets continue to improve then we may have to do some of those things. But I think at this point we are okay.
Tristan Gerra: Great. Thank you.
Operator: Thank you. Our next question comes from Harsh Kumar with Piper Sandler. Please proceed with your question.
Harsh Kumar: Yeah. Hey, guys. First of all congratulations on some very good numbers and some very good guidance despite all the challenges in the market, so we do appreciate that as investors. I wanted to ask you, Mohan, if all the things that you see positive that are going on with the company, what are some of the things that you are the most excited about or you feel that will grow the fastest for you and then I have a follow-up?
Mohan Maheswaran: Well, this year, I think is going to be the year where LoRa is really moves into the mainstream. I have said that before there will be catalysts and I think we are starting to see that, obviously, the Amazon Sidewalk announcement was exciting. The Amazon AWS IoT Core announcement was exciting and the cloud services. The first time we have really gone out there with cloud services as a capability and we are going to test them and check that out and see. But we are very excited about that, obviously, we will see how the results play out over the next few years, but that’s obviously exciting. All of our businesses in the infrastructure side on the Signal Integrity Product side are doing extremely well. Obviously, it’s largely to do with the world moving to more higher bandwidth across different segments of the market. But because we play in all areas, datacenter, base stations and on the access side with PON, we can see that there is demand in all areas and one feeds the other. If you have core bandwidth increase you need base station bandwidth increase. If you have base station bandwidth increase you need access bandwidth increase and so we are seeing that definitely become playing out. And I think the other thing that’s exciting about that is, that it’s becoming more global for a large part of our last five years, if you look at it, I mean, a lot of the growth has come from China and what we are seeing now is a lot more growth in other regions. Very excited by Tri-Edge, got great momentum with that and so we will see how that plays out, but we are very excited by the work that’s going on with customers and on the feedback and we started to get very good orders in that area. So that’s very exciting. And then, I think, the Protection business is, we made the decision to diversify a few years ago. That’s starting to play out nicely for us and I think that could be extremely positive for us as well. So lots of areas, Harsh, it’s tough for me to pick out one. But I think if you have to -- if we have to pick out one it would still be LoRa.
Harsh Kumar: Awesome. Thank you, Mohan. And then thanks for mentioning Tri-Edge I was going to ask about that. So I will ask you now about what kind of interests are you seeing regarding your cloud services from customers as you talk to the folks out there that are going to buy these services. Are they excited or is it just more of a push or show me the concept kind of thing at this point?
Mohan Maheswaran: It’s a little bit of both. I think the initial show me, but once they see what we have, I think there’s a lot of excitement. I think it’s very unique platform, right? I mean, we are the only real guy out that provides -- providing device to cloud services that offer this type of capability. We can offer very good security in terms of device provisioning, joining network, obviously because we are in both the end devices and in the gateways and obviously have worked with the cloud guys. So, on the device management side, that’s also a very unique capability of being able to update the device itself over the year in software. And then geolocation, the unique -- obviously another unique capability for us with what we have with WiFi sniffing and GPS sniffing essentially being able to allow the device to be tracked indoors and outdoors, is a very nice feature as well. So lots of my things we have to -- it’s embryonic, I mean, it’s very new. But the opportunity is clearly there, the market is huge, and now, I think, if we execute, we should do very well.
Harsh Kumar: Thank you, Mohan
Operator: Thank you. Our next question comes from Gary Mobley with Wells Fargo Securities. Please proceed with your question.
Gary Mobley: Hey, guys. Let me extend my congratulations on a strong finish to the year. We have seen and heard out there in the marketplace of manufacturing constraints for automobiles, is there’s a shortage as automotive semiconductors. We heard just yesterday Samsung talking about smartphone supply chain constraints. And so my question to you is to what extent have you factored into your guidance any supply chain constraints unrelated to your specific products?
Mohan Maheswaran: Unrelated to our specific products is tricky, because we don’t really know until we hear about it right, Gary. But I would say, you can tell from our turns number required, we are -- obviously we are guiding to a number we feel comfortable with based on how much turns we need. The question really is whether our customers change their demand outlook and then reduce the need for the devices. I doubt that’s going to happen. If anything, I think it will go the other way, which is as lead times continue to extend out they will want more material and need more material if they are going to continue to be successful. And so I don’t think it changes much from our perspective, obviously, there could be a surprise if some customers come back and cancel phones and things like that. But the likelihood is, it’s just a temporary blip and the next quarter will probably be the stronger if they choose to grow their businesses, right?
Gary Mobley: Okay. Appreciate that, Mohan. So a follow-up I had a couple quick housekeeping questions. Could you share with us perhaps how much the extra week in the quarter impacted the sales and as well could you give us an update on where your distribution, sorry, your distributor inventory stand in turns of days or weeks?
Emeka Chukwu: So, Gary, with regard to the impact of the 14-week on sales, it’s really kind of hard for us to estimate that. So I think what most people have basically done is just look at it on a linear basis, right? And in terms of distribution we then announce the days publicly. But I can tell you that we are very pleased with where the distribution inventory is and is probably a little bit on the lower side, if I were to add some color to that.
Gary Mobley: All right. Thanks, Emeka. Thanks everybody.
Operator: Thank you. Our next question comes from Quinn Bolton with Needham. Please proceed with your question.
Quinn Bolton: Hey guys. I will offer my congratulations as well and I apologize that my call dropped during the Q&A. So I apologize if somebody else asked the question. But Mohan, you talked about a strong outlook for the LoRa business in fiscal ‘22, really starting to hit the mainstream and a 40% longer term five-year CAGR. I am wondering if there is any reason to think that the growth in fiscal ‘22 for LoRa would be wildly off that 40% year-on-year rates implied by the longer term CAGR you are looking at?
Mohan Maheswaran: Nothing I can think of Quinn other than macro events. I mean this last year pandemic something like that occurring is just a little bit are off right now on what type of things are going on. But the pipeline is good, the activity is good, number of new big initiatives like the Amazon initiatives, I mentioned, we have got more in the pipeline on those that will be announced soon. I think cloud services, as I mentioned. We just got great momentum and one of the things about LoRa and IoT and specifically the LPWAN market, it’s a market that has been created. And a lot of the use cases are around climate pollution -- climate initiatives, pollution initiatives, green initiatives, energy savings initiatives and then there is just great momentum. So my own sense is that, if anything, the momentum will be better. But at this point in time we just -- we are just monitoring it case-by-case. We look at all the use cases. We look at all the proof of concepts that are in place and how we can move those to revenue. But yeah, I think, there’s a lot of initiatives, obviously the Amazon Sidewalk initiative as an example of that, it’s -- once it starts to really get out there and I think it’s more the second half of this fiscal year. But as it starts to ramp, I mean that could really ramp very, very nicely, very quickly or it may not, right? So we will have to wait and see. But we are confident about it.
Quinn Bolton: And just a quick clarification Mohan on the Amazon Sidewalk, when you are talking about that second half of ‘21 ramp, is that more on the gateways or is that on the end-node side?
Mohan Maheswaran: Well, at once the -- what we know, and obviously, I can’t say -- talk about it too -- in too much detail, but we do know is that work is going on in both ends of devices and gateways. But from a use case standpoint, you really kind of need the gateways out there first and then that will drive more end-nodes and more sensors. And once the gateways are in place, of course, you can then add infinite amount of sensors. And so, I think, once they are in place and you have an installed base of gateways out there, I think the next five years to 10 years will be very interesting to see how many sensors are actually connected.
Quinn Bolton: Great. The second question I have is just on the Protection business I think you said that I will look for growth in fiscal ‘22 was 10% or better. I might have missed it, but did you give an outlook for Signal Integrity, it sounds like base station on data center are all going to be pretty good growth years. So just wondering if you had a -- it’s kind of a fiscal year ‘22 target for the Signal Integrity business?
Mohan Maheswaran: We -- I expect it to have another record year Quinn and grow double digits again. So very strong, all areas of the business, I expect datacenter, base station and PON will do very well. And then as I mentioned, the PAM4 side of the Tri-Edge is doing very well. So I expect that to grow very nicely in FY ‘22. And then some of the segments that has struggled in FY ‘21, particularly video, broadcast, the Pro AV stuff really struggled in FY ‘21 through COVID. I think some of that’s going to come back quite nicely in FY ‘22. We will see, it may be second half loaded. Again, as live events come back on and as more people start to get out there to sports, bars and things like that. I do expect a ramp-up of Pro AV as well.
Quinn Bolton: I will be rooting for the video broadcast business then. Thanks, Mohan.
Mohan Maheswaran: Thank you.
Operator: Thank you. Our next question comes from Karl Ackerman with Cowen. Please proceed with your question.
Karl Ackerman: Yeah. Good afternoon, gentlemen. Appreciate you let me ask the question. Two if I may. First, some 5G networking supply chain players have noted a pause in China infrastructure projects until tenders are granted. Given your unique position within the supply chain, I guess, what level of activity are you seeing in China infrastructure spending today and I guess also in the context of 10-gig PON order rates for the April quarter?
Mohan Maheswaran: We see strength in both areas 10-gig PON and 5G base stations. As you know, PON is sometimes lumpy in one quarter here, sometimes you wait. But in general, everything’s up into the right and that’s not a surprise, infrastructure across the globe is increasing, 5G base stations are increasing, 4G also is increasing. PON is doing nicely, and as I mentioned, 10-gig PON specifically because of the bandwidth expansion needs is increasing quite nicely. The other thing is it’s not just China and I think that’s an important takeaway is that we are starting to see a lot more activity in both 5G and PON in North America and Europe and other regions of the world. So, which is also quite good, very positive. And remember both 5G and PON we have more content than we have with 4G. So with 5G, obviously, we have now CDRs, as well as PMD function. Also with 5G there’s typically more front haul modules and so -- and then you have expansion in the geographical side. And then on the PON side, not only do we have 2.5-gig and 10-gig PON. But in 10-gig PON we also have OLT side, so ONU and OLT side, so kind of the CPE and central office side, if you like and that’s also giving us more content. So both these segments of the market we are doing extremely well. I would say that both markets are also doing quite well though.
Karl Ackerman: Got it. I appreciate that Mohan. For my follow-up, you spoke about how Protection business can grow double digits this year. How does automotive play into that outlook and how should we think about the incremental revenues here and I guess the margin profile for those as you look to expand into this area? Thank you.
Mohan Maheswaran: So Protection is doing very well in automotive. It does take longer though. This is all fairly new design wins in automotive and those take some time. So that they kind of have more of an industrial growth rate I think, but yeah, I do expect to do well. And anything in any protection that goes into automotive or into IoT or into communications infrastructure or into broader industrial will be at either our corporate average or much higher actually. So in general, it’s the consumer protection business, that’s the lower margin for us. And so I think as Emeka pointed out, we get the right mix in both our different businesses, but across the company that should be accretive to gross margins. Operator?
Operator: Thank you. Our next question comes from Rick Schafer with Oppenheimer. Please proceed with your question.
Andy Hummel: Hi. This is Andy Hummel on for Rick. Thanks for taking my question. The first one, just on with LoRa and some of the Amazon wins that you announced, but more specifically on the AWS IoT side, but can you just talk a little bit more about the opportunity with that platform? What are some of the factors that Amazon has that helps you accelerate LoRa adoption and then more broadly, if you can just remind us what your revenue opportunity is with the Amazon partnership?
Mohan Maheswaran: Yeah. So, AWS IoT Core is really an important initiative. It’s taken several years I think to come up with and develop and create, but essentially it creates a plug and play experience for enterprise solution providers that enable them essentially to connect their IoT sensors directly to the Amazon Cloud. And why that’s important is essentially as a time to market thing and also a competence thing. Because AWS already has software developed for applications, has different unique kind of vertical application software that it can be applied to different segments. And so not only the connectivity enablement which is easier and faster, but then also the ability to provide a kind of end-to-end solution quicker is also important. So I would say that’s the key thing. And so for enterprise, it’s really an enterprise play different than Sidewalk which is more of a kind of a smart home consumer play. That gateway connectivity directly to the cloud is really significant for large enterprises and so we do expect that to be part of our $100 million in five years with Amazon as tied to Sidewalk and some of it is tied to AWS IoT Core. But I think that’s kind of the goal.
Andy Hummel: Okay. Great. Thanks. And then the follow-up, just on depending upon market, do you have a sense for where customers are at in the upgrade cycle like of is there a way to clarify I guess like what percentage of customers that might end up upgrading at some point have already upgraded the 10-gig?
Mohan Maheswaran: Well, about 50% of our revenues that are coming in quarterly now are for 10-gig. So that’s a very rapid increase. I wouldn’t have expected that. And we knew 10-gig was going to ramp up. But that tells me that the market is moving to higher bandwidth PON quite quickly and we are expecting that to continue to grow that way. So, yeah, it’s moving fast. I mean if you think about a 10-gig is a natural hand-off for 5G. It’s also a natural connectivity point for HDTV, things like that. So it’s really a nice kind of data point, 10-gig typically is really as a good hand-off point for high speed data and so I think 10-gig PON has an option to do very well. And we look at it, if you have got a greenfield site certainly in China, but I think it’s also a place to other regions of the world, where you don’t have optical cable, but you are going to lay out optical cable, you would go with the higher bandwidth optical connectivity, right? So that’s why we will go with 10-gig PON or above even, we have customers who are looking at higher bandwidths as well, so which again will help Semtech.
Andy Hummel: That’s great. Thanks. Appreciate it. Congrats on the quarter.
Operator: Thank you. Our next question comes from Craig Ellis with B. Riley Securities. Please proceed with your question.
Craig Ellis: Yeah. Thanks for taking the question and congratulations on the results. Mohan I wanted to start with LoRa, but before I ask the question, thanks for keeping the dashboard fresh and the metrics relevant to the things that are evolving in the business. The question on LoRa though is, if we look back a year ago, I think, it was a priority to really increase the next design win and engagement activity in U.S. and Europe, and the team clearly did that and did that well. As you look ahead to 2022, are there any areas of geographic emphasis as you look at pursuing some metrics that you talked about in this year’s LoRa dashboard?
Mohan Maheswaran: I think we still have to execute on that, Craig. I would say, it’s huge now and so a lot of the opportunities are outside China. I don’t think that we necessarily are changing our strategy in China. Our momentum in China is still very good. It’s more a question of, let’s make sure we have momentum in other regions of the world and clearly North America now with Amazon and some of the things that are going on in the enterprise space in North America is extremely good and in Europe as well. So I think it’s more of the same. We just want to keep doing that, executing on that. And now, as I mentioned, really LoRa is quite well adopted around the world globally. I mean, it’s really acknowledged as a great technology for LPWAN. So I think our focus now is on executing on the proof-of-concepts and making sure this end-to-end solutions there is enough sensors, there’s enough gateways, there’s high quality software out there, there’s cloud connectivity, those type of things. And really focusing now on the use cases, make sure that the customers themselves who are implementing those use cases are not having any challenges with the use of LoRa from an end-to-end solution standpoint and therein lies the opportunity with LoRa Cloud I think and with some of the things we are doing with Amazon on the AWS IoT Core, for example.
Craig Ellis: Got it. And then the follow up, Emeka, is for you. In your prepared remarks you mentioned rising input costs and the potential to make some pricing moves. And so I just want to dig into a little bit further on what was possible. For example, I would expect in some parts of the business it is not possible to raise prices due to your relationship with existing Tier 1 customers. But in other parts of the business it may be more feasible. So can you just provide some further color on what the company might be able to do and when in fact the company might be able to make some moves if it chose to act in that direction? Thank you.
Emeka Chukwu: Thanks, Craig. I think, we already seen -- like Mohan did mention, we already seen some expenses where we are getting indications of price increases from the supply chain and we are assessing that. It’s not really -- it is pretty much going to be across the Board where we continue to look at where, which product lines, which areas are we seeing the impact of this increases and then I will have to figure out whether the strategies are going to be, as you are coming through every year, you plan for a certain amount of ASP reductions. May be the answer is going to be okay. We are not going to give those planned ASP reductions and in some cases, if the increase is on the supply chain is pretty significant then we will have to expect that our customers to help us share some of those bargains. But it is very -- I am not sure that I can comment now and tell you exactly where we are seeing things, but our office varies that, we should be able to find opportunities to offset the impact of cost increases that we get.
Mohan Maheswaran: One thing to remember, Craig, as I mentioned earlier is that, we have done a really fantastic job in my view of building more inventory in anticipation of some of these issues. And so I think at least for the first half, I think where we feel pretty good about where we are from a supply standpoint. The question really is in the second half if demand increases and we need to go to our suppliers and get more material than it’s going to come at a higher price, right? And for those we may have to go to our customers and request higher pricing.
Craig Ellis: Well, certainly, you wouldn’t be the first doing so there, so guys thanks very much and good luck.
Operator: Thank you. Our next question comes from Chris Rolland with Susquehanna. Please proceed with your question.
Chris Rolland: Hey guys. This one will be for Mohan. So I recently ordered a Helium hotspot. So I am back ordered on that. But if you look at the token value market cap implied by the network we are in the hundreds of millions now, which would imply this would be a real thing. So I was wondering Mohan, if you could talk about this. Do you think this could be a real thing? Is this something that maybe you thought Comcast was going to be. Can you talk about kind of where we are now and if this how you are viewing this whole network?
Mohan Maheswaran: Yeah. That’s a really interesting question, Chris. I would say that was our vision and dream with Comcast and for whatever reason they decided not to go down and continue to execute on that. They are still involved. But not with the ambition that we thought they initially had. We do think that that’s the same kind of concept which is Amazon Sidewalk is -- has and others that are in the pipeline. And Helium’s approach is very interesting and very unique and very creative, which obviously fits well with LoRa and all of the things that are going on. So, yeah, I think it could work to some extent with some of these networking approaches. It’s a beauty of LoRa, which is very flexible where you could have very low cost, very secure networks that connect together and it just changes the world of networking to some extent and I think that’s the ambition, right? So take it away from the big guys and give it to the small guys and see what happens. And so, we will see, it’s early and I think with Helium obviously being a start-up. They have to execute. But we see this in several countries in the world going on. It’s not just in the U.S. And as I say, I think, definitely the momentum is there. We will see how it plays out. The use cases of the key in my view as more and more use cases become available and make the network itself very valuable, then I think it could work for sure.
Chris Rolland: Understood. My final question is around China both on the handset side and the optical side. I think you said, China handset was good, do you have any viewpoint on China inventories and how much you were helped by inventories that may have been built as Huawei has been struggling here, the other guys have been said to have been building inventory? And then secondly on the 5G infra side, I think, you mentioned, some optical strength, is that where it came from, is it China Optical on 5G?
Mohan Maheswaran: Well, I think, though on the first the 5G strength today is mostly China, but I think we are starting to see new opportunities now emerge from other regions of the world, which is as I said they are a very encouraging. So and it’s not -- it’s well understood I think around the world that some of the North America -- American and European companies Nokia, Samsung, Ericsson Cisco are all engaged and in trying to build 5G systems and equipment and so we see definitely a good momentum there more globally. And then on the smartphone question, on the mobile question, for sure China has ramped up and specifically non-Huawei smartphone manufacturers have ramped-up their demand and are looking to get more material. We are seeing that strength. I would say, it’s also North America and the strength is there. Korea has been slightly not so strong. I do think that that might come back in Q1 and beyond. But certainly for Q4 China was strong and probably will be for the first half of this year. I don’t know how much of that is in the supply chain driven. I don’t think it is, I think we started to see that well in advance. I think it’s more in anticipation of maybe winning some of Huawei’s business. But at the end of the day we look at across all of our customers and are looking at carefully at how much what is demand and what’s being consumed and how much material is out there in the channel and paying out a lot of attention to that.
Chris Rolland: Thanks guys.
Operator: Thank you. Our next question comes from Cody Acree with Loop Capital. Please proceed with your question.
Cody Acree: Yeah. Thank you guys for take my questions. If we can go back to maybe towards the beginning and just try to get a better sense of the velocity of your bookings level as we push here through the first part of the year, just on a linearity basis? And then what is that, is there a correlation between that bookings uptick and the expansion or the expanded lead times?
Mohan Maheswaran: Yeah. I would say that the demand came first. Cody, I mean, we definitely start to see bookings, very strong bookings in October, November, December, I mean, very, very strong Chinese New Year, softened a little bit, but then bookings have been very strong since then. Lead times have been gradually increasing, supply lead times of gradually increasing, so customers obviously want to give you more visibility as they get concerned about supply constraints. But I think it’s a healthy position for someone like us. We have built inventory. We have enough material to support customers. It’s just a question now of making sure that the materials we ship out are being consumed effectively. And I think that’s what, as I said, we are keeping a close eye on. But that’s kind of how the way we think about it.
Cody Acree: Mohan, I guess, given your position, how much visibility do you have, do you still -- do you feel comfortable with having on the possibility of double ordering or just, just inventory restocking efforts. We all know how this ends but what the visibility do you have? And then maybe why the 16% turns guidance visibility is so high? Why not a higher guidance if you are that much booked for the quarter?
Mohan Maheswaran: Well, we -- so we do have very good visibility actually and that’s the good thing, and as I said, that’s not a surprise. The turns number and the reason for the low percentage turns is mostly because of that consumption question, as I answered is that. While customers are asking for more, we want to be cautious about making sure that there is no excess channel inventory and so we pay a lot of attention to that. As Emeka said, it’s kind of the low end, I would like to keep it there. And so we are making sure that whatever we ship out is being consumed effectively and it’s not double ordered and things like that. So we are taking specific steps on that front and that’s the way -- that’s the reason why our turns numbers is what it is.
Cody Acree: Great. Thank you, guys.
Operator: Thank you. Our next question comes from Tore Svanberg with Stifel. Please proceed with your question.
Tore Svanberg: Yes. Thank you. I just had a few follow-up housekeeping ones. Mohan, you talked about the LoRa pipeline being $700 million. I believe in the past you have talked about the funnel and leads to the funnel. So is that $700 million now basically just adding those two up?
Mohan Maheswaran: Yes. Opportunities and leads, Tore. I would say this last year in FY ‘21 normally a lot of the leads come from shows, conferences, events and things like that. And of course, we went in Q1 into a period where nothing was happening. So I think that’s going to change this next fiscal year when things start to get back to normal in terms of some conferences being open, shows starting to open up a little bit and people traveling a little bit more. We will start to see those leads expand. But, yeah, but to answer your question, it’s a combination of both opportunities that are in the pipeline that are running proof-of-concepts and leads.
Tore Svanberg: Got it. Got it. And then I just had a question on so of the math of the number of the gateways and the end-nodes versus your revenue. So I think end-nodes grew about 30%, gateways I think doubled year-over-year, your revenues grew 20%. So how should I just think about the math there, and of course, I am not looking at perfect tides here but...
Mohan Maheswaran: Yeah. So the way to…
Tore Svanberg: …I mean…
Mohan Maheswaran: Yeah. The way to think about it, Tore, remember gateways is installation is a question of a network, right? So they are creating the networks first according to gateways, whether that’s a private network or a public network. The end-nodes are tied to actual sensors being connected to those gateways. Now remember the end-nodes, the timing of an end-node when we ship a device out, the device typically will go to a distributor. The distributor will then ship it to a customer. The customer will then put that for example that device. We just tell a radio component they will put it into a system, build the whole sensor node and then it gets connected to the gateway. So there are -- there is a different timing components here. But the reason why I shared these metrics, obviously the gateways are important, because it tells you about the capacity that’s out there to support LoRa. So with the current capacity of 1.3 million gateways that can support about 5 billion sensors there. So there is no -- there’s plenty of availability of networks to support centers. And then the cumulative end-nodes is important, because it tells you exactly how many nodes are now connected to the gateways. In terms of our revenue, it’s when we ship devices to our customers, right?
Tore Svanberg: Right. Now that’s very helpful. Thank you so much.
Operator: Thank you. There are no further questions at this time. I would like to turn the call back over to Mohan for any closing comments.
Mohan Maheswaran: Okay. In closing, we were pleased with our strong Q4 and fiscal year ‘21 results. Despite the impacts of the pandemic, our multi-sourcing initiatives, our investments in IT operations and sales infrastructure limited the impact of COVID on our business operations. We also benefited from the strengthening of several secular themes driving our key growth engines, targeted at the data center, Internet of Things and mobile device segments. We remain committed to considering the impact of environmental, social and governance factors in our decision making processes. Given our diverse product offering, balanced end market approach and strong customer relationships, we expect to see growth and a strong financial performance in fiscal year ‘22. With that, we appreciate your continued support of Semtech and look forward to updating you all next quarter. Thank you.
Operator: This concludes today’s conference. You may disconnect your lines at this time. Thank you for your participation. Have a wonderful evening.